Operator: Hello, and welcome to the Robert Half Fourth Quarter 2013 Conference Call. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Harold Max Messmer: Thank you, and good afternoon, everyone. We appreciate you joining us. As is our custom, we would like to start today's call with a reminder that comments made on the call contain predictions, estimates and other forward-looking statements. They represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable, but we remind you that they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. We've described some of these risks and uncertainties in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update statements made on today's call. Now let's discuss last year's fourth quarter. Revenues were $1.08 billion, up 5% year-over-year. Income per share was $0.49, an increase of 16% from the fourth quarter of 2012. Cash flow from operations was $98 million during the fourth quarter, and capital expenditures were $21 million. We paid a $0.16 cash dividend to shareholders on December 16 at a cost of $24 million. We also repurchased 500,000 Robert Half shares during the fourth quarter at a cost of $20 million. Approximately 8.1 million shares remain available for repurchase under our board-approved stock repurchase plan. We saw a continued strength in our staffing operations in the fourth quarter, during which, growth rates accelerated for substantially all of Robert Half's specialized staffing divisions. Our Technology staffing, as well as our permanent placement divisions, reported the strongest staffing revenue gains compared to the year-ago quarter. Protiviti also reported another excellent quarter, with revenue up 18% year-over-year. This was Robert Half's 15th consecutive quarter of double-digit net income and earnings per share growth on a year-over-year basis. Return on equity was 29% for the quarter. Earnings per share of $1.83 for 2013 is the highest reported ever by the company. Now I'll turn the call over to Keith for a more detailed review of our fourth quarter financial results.
M. Keith Waddell: Thank you, Max. As Max mentioned, global revenues were $1.08 billion in the fourth quarter, which is an increase of 5% over the previous year on both reported and same-day constant-currency basis. Global staffing revenues increased 3% on a same-day constant-currency basis, with the U.S. growing 6% and international staffing revenues declining by 3%. U.S. staffing revenues were $714 million in the fourth quarter, while international staffing revenues were $228 million. We have 345 staffing locations worldwide, including 99 locations and 18 countries outside the U.S. We calculated 61.9 billing days in the fourth quarter compared to 62 billing days in the fourth quarter of 2012. The effect of which was a 0.2% decrease in reported year-over-year staffing growth rates. The current quarter has 62.4 billing days, as compared to 62.2 days in the first quarter of 2013. Currency exchange rates had no meaningful effect over reported fourth quarter 2013 staffing revenues. A supplemental schedule accompanying our earnings release shows year-over-year revenue growth rates for each of our staffing lines of business from both a reported as well as a same-day constant-currency basis. The schedule further divides the data between U.S. and non-U.S. Operations. You can find this schedule in today's press release and in the Investor Center of our website. This is a non-GAAP financial measure meant to provide you with information on certain trends and our staffing operations. Fourth quarter global revenues for Protiviti were $142 million, including $112 million in the United States and $30 million outside the U.S. Global revenues for Protiviti grew 18% year-over-year, with the U.S. up 20% and non-U.S. revenues up 12%. Protiviti and its independently owned member firms serve clients through a network of 75 locations, 25 countries. Now let's review gross margin. Fourth quarter gross margin in our temporary and consulting staffing operations was 36.5% of applicable revenues. This was a 10 basis point increase over the fourth quarter of 2012. The fourth quarters of 2013 and 2012 include workers compensation and other payroll-related credits of $2.7 million and $2.0 million, respectively. Permanent placement revenues were 9.1% of overall staffing revenues for the quarter compared to 8.8% reported 1 year ago. Together with the higher temporary and consulting gross margin previously discussed, overall staffing gross margin expanded by 30 basis points versus 1 year ago to 42.3%. Protiviti's fourth quarter gross margin was $45 million or 31.8% of Protiviti revenues compared to $32 million or 26.9% of Protiviti revenues a year ago. The increase is due primarily to higher staff utilization. Turning to SG&A costs. In the fourth quarter, our staffing SG&A costs were 33.0% of staffing revenues compared to 32.0% reported 1 year ago. We ended 2013 with 10,300 full-time employees in our staffing divisions, up 8% from the prior year. Fourth quarter SG&A costs for Protiviti were 20.1% of Protiviti revenues compared to 22.4% of revenues reported this time last year. We ended 2013 with 3,100 full-time Protiviti employees and contractors, up 7% from the prior year. Fourth quarter operating income from our staffing divisions was $87 million or 9.3% of staffing revenues. Temporary and consulting divisions reported $75 million and operating income for the quarter were 8.7% of applicable revenues. Fourth quarter operating income for our permanent placement division was $12 million or 14.7% of applicable revenues. Protiviti's operating income was $17 million in the fourth quarter or 11.7% of revenues, compared to $5 million in the fourth quarter a year ago or 4.5% of revenues. Accounts receivable were $552 million at the end of the fourth quarter, with implied day sales outstanding of 46.3 days compared to 45.1 days at the end of the fourth quarter of 2012. Now let's turn to guidance for the first quarter of 2014. We saw the following trends in the fourth quarter and so far in January. In the U.S., year-over-year growth rates for our temporary and consulting divisions accelerated in October, accelerated more in November and slowed modestly in December. Also in the U.S., year-over-year growth rates for our permanent placement divisions accelerated in October then slowed in November and December. Outside the U.S., year-over-year temporary and consulting staffing growth rates, while still negative, improved consistently throughout the quarter. For placement growth rate, slowed in October, but improved in November and again in December. For the first 2 full weeks of January, revenues for our temporary and consulting operations were up 2% on a same-day constant-currency basis compared to the same period last year, with U.S. temporary and consulting revenues up 4% and non-U.S. temporary and consulting revenues down 5%. For the first full 3 weeks of January, permanent placement revenues were up 4% on a same-day constant-currency basis compared to the same period last year, with U.S. perm revenues up 4% and non-U.S. perm revenues also up 4%. We remind you, however, it's difficult to read a lot into these trends given the short time periods they represent. Taking this information into account, we offer the following first quarter guidance: revenues, $1.05 billion to $1.1 billion; income per share, $0.40 to $0.45. Please note, our estimated first quarter income tax rate increases to 39%, up from 36% in the fourth quarter of 2013. This is primarily due to fewer available unused foreign tax benefits. The higher tax rate lowered our first quarter guidance by approximately $0.02 per share. We lowered our guidance to 1 quarter. All estimates we provide on this call are subject to the risks mentioned in today's press release and in our SEC filings. Now I'll turn it back over to Max.
Harold Max Messmer: Thank you, Keith. Our professional staffing units and Protiviti finished the year strongly, with U.S. operations leading the way. We saw improving year-over-year revenue trends in all staffing lines of business and, most notably, in our Protiviti subsidiary. Protiviti had an excellent year, marked by demand in its internal audit, technology, consulting and financial services advisory practice areas, among others. We also were pleased with the ongoing collaboration between our staffing divisions and Protiviti on joint business opportunities. We see encouraging economic signs and positive trends in our markets right now. The United States unemployment rate is at a 5-year low, and the number of temporary workers as a percentage of total U.S. employment is at an all-time high. We believe demand for flexible staffing has momentum far beyond these post-recession years. More companies are benefiting from variable cost labor and, as a result, are including skilled temporary professionals in their human resources mix. We see stable to improving trends outside the United States as well. The difficult economic climate in Europe has affected staffing demand for a number of quarters. Economic data in the Eurozone began improving in the second quarter of 2013, and the U.K. staffing market appears to be returning to growth. We feel our non-U.S. staffing operations are well positioned to benefit in a stronger economic climate. As we head into 2014, we see other encouraging signs. Small and midsized businesses are hiring. This is a key market segment for Robert Half. Companies of this size often lack their own human resources department, and as a result, they value our personalized, consultative approach. Small and midsized businesses are keenly aware that our fees are not expensive when compared to the cost of hiring the wrong person. The regulatory and compliance space is one area where we are seeing a greater need for skilled finance and information technology talent. Financial services regulations such as Dodd-Frank are creating demand by companies for compliance expertise. Likewise, U.S. health care reform and consumer protection regulations are fueling demand for our services. The global regulatory environment is creating demand for both Protiviti and staffing services. We also see upside in our technology staffing business. The push by companies to implement new technologies is driving new business for us, particularly among small and midsized clients. These businesses are investing in customized software, IT security, robust websites and social media. In addition, technology-driven marketing strategies and e-discovery are catalysts for our creative staffing business and for Robert Half Legal. At this time, we'll be happy to answer questions. [Operator Instructions]
Operator: [Operator Instructions] Our first question comes from the line of Mark Marcon from R. W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: I was wondering if you could -- first, I heard from others that they -- that everybody got kind of a blurred take from your guidance, Keith. Just the -- whatever audio you have fuzzed up. Can you just repeat the revenue guidance?
M. Keith Waddell: Sure. It's $1.05 billion to $1.1 billion.
Harold Max Messmer: Was that clear, Mark?
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: That was clear. With regards to RH Technology, you're clearly seeing really terrific acceleration there. I'm wondering if the SG&A ramp is really tied into, in particular RH technology? And are you going to continue to over-index your investments there, given that -- in light of the good results? Or are there -- is there anything else that's going on with SG&A?
M. Keith Waddell: So SG&A certainly was higher this quarter than it would typically be. We talked a little last quarter that not only have we invested in headcount in Robert Half Technology, which is over-indexed to use your term, but we also began adding more broadly to our other divisions as well. We felt like, at the time, that things were getting more positive, the environment was getting more positive, so we began to add to headcount in the third quarter. We continued to add to headcount throughout the third quarter and into the early part of the fourth quarter. As we disclosed in our earlier remarks, we did add 8% to our overall headcount for the year, which is significantly faster than our revenues grew during the year. So in short, we were trying to get ahead of these positive trends. We clearly hired earlier than the revenues would otherwise dictate it. But frankly, the acceleration we saw in the fourth quarter, if anything, confirmed our belief that it was a good time to add to headcount broadly, not just limited to Robert Half Technology. As you then roll that into the first quarter, since most of the hiring took place at -- toward the back end of the third quarter and the front end of the fourth quarter, there's not much extra SG&A, if you will, that rolls into the first quarter. So our assumption would be, as a percent of revenue, that the first quarter, given the revenue guidance we gave, the first quarter SG&A percentage shouldn't be heavier than the fourth quarter, and if anything, will tick down a little bit.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And then just switching gears over to Protiviti. Can you just give a little more color with regards to the areas that you're seeing the strongest level of demand? Obviously, it's been terrific. Looks like you may have also taken pricing up, given the sequential trends in gross profit relative to revenue.
M. Keith Waddell: Protiviti did have an excellent quarter. The prior quarter areas of strength continued, financial services, risk and compliance, IT security, continuity, controls, et cetera. The big upside relative to our own forecast was in the internal audit area, which had a huge fourth quarter. What we're finding there is as the PCAOB routinely performs its inspection of the Big 4 and their audits, what they're finding is that more documentation and more testing is needed of internal controls. That clearly trickled down to Protiviti. It saw a nice spike in its internal audit practice pretty much across the board and accounted for a lot of the upside in the fourth quarter.
Operator: Your next question comes from the line of Andrew Steinerman of JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Keith, could you start by going over what do you -- what is the implied constant currency same-day revenue growth in the first quarter guidance? And then my question around that is how did you take into account the couple of hundred basis points lift that we'll get as we move through the first quarter, as we anniversary that unusual January 2013 project end?
M. Keith Waddell: Okay. So if you look at our guidance, at the midpoint, we're showing revenues growing to a little over 5%. So a 200 basis point acceleration versus the fourth quarter just ended, as you correctly stated, we should get a lift of 200 basis points from anniversary-ing the mortgage alone when we dialed in. Beyond that, because of the slow start that we had, which was largely weather-impacted, and as you know, we rarely invoke weather, but when we've had major offices lose 2 and 3 complete business days due to weather, it clearly impacted our start out of the gate this quarter, and we were, therefore, more conservative for the full quarter given that start. But overall, the midpoint of our guidance assumes a 200 basis point acceleration globally on year-over-year growth rates.
Operator: Your next question comes from the line of Tim McHugh of William Blair & Co.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Just to follow up on the SG&A, I guess, you talked about -- it sounds like you kind of slowed down the pace of additional hiring as you get early into the fourth quarter. I guess, were you -- what's your thought process as we move through the year? Is there a lot of capacity there, I guess, that you want to wait and see how that ends up? Or would you even -- do you feel like coming back on that if you don't see it? I guess, where do we sit just in terms of additional headcount that you mentioned?
M. Keith Waddell: We felt like we added a lot of capacity in staffing across the board in 2013. Given the revenue trends, we're happy about that. For the next quarter or 2, we believe, given the capacity we've added in '13, we can take it easy on the headcount additions and lever the investments that we made. It'd come later in the second quarter into the third, if the revenue trends continue, as we've seen recently, we would, again, dial the headcount up. But over the course of the year, you should see more normal relationships between headcount and revenues. Should the trend turn around on us, as we've proven we'll do many times in the past, we would reverse some of that investment if market conditions dictated. That said, I'll tell you, having spoken to our people, not only in staffing, but in Protiviti, and frankly, they're as optimistic, they are as positive as they've been in a long, long time.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then, international, it seems -- for Protiviti, it seems that you saw the international piece pick up here. I know you've mentioned internal audit. But I guess, can you -- is that piece of Protiviti starting to kick in like you've seen in the U.S.? Or is it too early to say that?
M. Keith Waddell: So international Protiviti, we had a very good year in Europe with international Protiviti, with the revenue growth rates. I'm happy to report that Europe Protiviti was profitable not only in the fourth quarter. It was profitable for the full year, which was a huge improvement from where it had been in the past. Our profitability challenge remains in Asia, and we're working hard to diversify the revenue sources to rationalize their cost structure and to improve our operating margins there. But I'd say, internationally in staffing, we also saw improvement during the quarter. If we kind of take a quick tour of the world, in the U.K., the fourth quarter got more positive year-over-year. The outlook is for even more positive than the first quarter. Belgium was less negative. The outlook is, we might even turn positive in the first quarter. Germany was slightly negative in the fourth quarter. The thinking is we might actually go positive in the first quarter there. France was less negative. The outlook would be to get even less negative again. Australia, same. Less negative in the quarter. Outlook is for less negative again. And Canada was more negative, slightly, and the outlook is that stays about the same. So when you put all that together in staffing, while we might not get to even year-over-year in revenues, we think we can get close in the coming first quarter, which is a nice improvement and a continuation of the trend we've seen for the last 2 or 3 quarters.
Operator: Your next question comes from the line of Sara Gubins of Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: Could you give us an update on pricing trends and bill pay spreads?
M. Keith Waddell: On pricing, it was pretty consistent. I think we were up 1.7% year-over-year. Pricing in the U.S. actually got a little better quarter-on-quarter. Pricing non-U.S. declined a little bit quarter-on-quarter. Pay bill spreads were pretty much consistent between the third and fourth quarter. The spike you saw in gross margin was almost entirely attributed to the workers' compensation accrual adjustment pursuant to the outside actuarial review, and we broke that out for you, it was $2.7 million pretax.
Sara Gubins - BofA Merrill Lynch, Research Division: Great. And then 2 other quick questions. The first is, Keith, could you give us the number of days for the rest of the year? And then second, Max, in your comments you mentioned health care reform as being one driver. I'm wondering if your clients are really focusing on that yet, and how those discussions are going?
M. Keith Waddell: Okay, as to the number of days, let me just give you by quarter how we calculated 2014. So for quarter 2, 63.2. For quarter 3, 64.2. For quarter 4, 61.7. Full year, 251.5, compares to 251.6 a year ago. As to health care reform, we're not seeing much in our small business clientele, trying to stay below 50, the way we've talked in the future. We are seeing some pockets of strength with both health care providers and with insurance companies in their customer service functions, primarily with OfficeTeam, as they deal with the transition to ObamaCare. So a different kind of demand, and we've talked about in the past, but it did, for OfficeTeam, move the needle a little bit.
Operator: Your next question comes from the line of Paul Ginocchio of Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG, Research Division: Keith, I think you'd mentioned, I think, it was a quarter or 2 ago, there was sort of 300 basis points for mortgage. And now it's sort of 200 basis points. Was the 100 basis points of loss from the weather, is that the difference? And then second, can you just give us an update on the drag from mortgage processing? Is it getting worse or same?
Harold Max Messmer: I'm sorry but we only heard the last few words of your question. There must have been a technical problem. Would you mind repeating that, please?
Paul Ginocchio - Deutsche Bank AG, Research Division: Sure. I was asking about 2 things. One, mortgage processing. Can we get an update on that? Is that more of a drag, less of a drag than it's been in the past, the last couple quarters? And then, I thought that the cycling of the foreclosure work was 300 basis points of acceleration, but it seems like it's now 200 basis points, is the difference the weather impact year-to-date?
M. Keith Waddell: Okay, for the foreclosure look-back, the 300 basis points is Accountemps and management resources. That has an impact of 200 basis points for all divisions combined. So that's how the 300 and the 200 relate. As to the impact of mortgage refinancing, mortgage origination, unrelated to the look-back project, it's been pretty stable the last couple of quarters. And the fourth quarter frankly didn't look much different than the third quarter.
Operator: Your next question comes from the line of Jeff Silber of BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Back to Protiviti, I know you'd mentioned that headcount for both employers and contractors was up about 7%. I'm not sure if you're willing to talk about it. But I was wondering did you have this beginning [ph] of the year, was it added towards the end? I'm just curious how this is trending currently?
M. Keith Waddell: It's -- Protiviti is back down, got added pretty consistently for the course of the year. And -- so maybe we should talk a little about it, a little about Protiviti guidance into the first quarter generally. So Protiviti has tremendous momentum going into the first quarter. As we've learned for many years, particularly in internal audit, seasonally, that declines in the first quarter, and our expectation would be that on a quarter-on-quarter sequential basis, revenues would be down somewhere in the 8% to 9%. That said, it still puts revenues up year-over-year on a double-digit basis. From a Protiviti operating income standpoint, again, year-on-year, the expectation for the first quarter will be very strong, up 80% to 90%. But sequentially, that's going to be down 50% or 60%. So when you do your modeling, let's not forget that seasonally, Protiviti declines as internal audit work gets crowded out by external audit work in the first quarter. And given Protiviti's contribution to our overall profitability, that seasonal decline has a much larger impact than it has for several years.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great, that was helpful. A couple of numbers questions, just for 2014, what you're budgeting for capital expenditures and what tax rate we should use for the rest of the year?
M. Keith Waddell: Okay, CapEx, our forecast is $60 million to $65 million, which is up a little bit from 2013. But 2013 was actually a little below what we had forecast for 2013. And importantly, the tax rate, we're looking at 39%, which is up 200 to 300 basis points from 2013. We did some restructuring in late 2012 that allowed us to use tax credits during 2013. Those have pretty much been exhausted, so our tax rate for 2014 returns to a more traditional level. And that more traditional level is closer to 39%. So again, when you do your comparisons, a year ago between quarter 4 and quarter 1, the tax rate went down. This year, between quarter 4 and quarter 1, the tax rate is going up.
Operator: Your next question comes from the line of Kevin McVeigh with Macquarie.
Kevin D. McVeigh - Macquarie Research: Keith, I think you just answered my question, but I wanted to just clarify. It looks like the revenue guidance is similar -- is basically the same as Q4. The EPS, I know, $0.02 of it is kind of from higher tax. The incremental kind of $0.02, is that just lower contribution from Protiviti. Or how should we think about that?
M. Keith Waddell: It's precisely that mix issue. Protiviti's seasonality provides that on a sequential basis, their operating income goes down. But notwithstanding that, year-on-year, their operating income is up between 80% and 90%. So it's going to be a hell of a quarter. But measured against their blowout quarter in the fourth quarter, it goes down somewhat for very traditional, very understandable, seasonal reasons.
Kevin D. McVeigh - Macquarie Research: Understood. I know you typically don't talk weather, if it's 2 to 3 days, any sense of what the revenue impact in terms of dollar amount would be just as we're thinking about the Q1?
M. Keith Waddell: Sure. So our U.S. revenue per day is about $11 million. And we're not talking every office losing 2 or 3 days. We're talking about primarily east of Chicago. But we've had major offices lose 2 and 3 full days, even the Southeast yesterday was impacted. So it's very hard to kind of quantify, putting all of those together, precisely what the impact is. But when 1 billing day, 1 equivalent billing day for the whole country is $11 million, it impacts the revenues quickly.
Operator: Your next question comes from the line of Gary Bisbee of RBC Capital Markets.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: The first question, on Protiviti. Since you had -- I understand the internal audit, the demand growth in the financial compliance area and technology, are those seasonal as well? Or is that more evenly spread? I guess I'm wondering if it's seasonality, that business will be reduced if those continue to be strong demand drivers over time.
M. Keith Waddell: You are precisely correct. There is not the seasonality in FSI risk and compliance and IT consulting that there is in internal audit. And over time, as they become a larger portion of the total, there will be less seasonality into the first quarter. That said, a lot of the outperformance during the fourth quarter was, in fact, internal audit. And it's that piece that's the most seasonal. And therefore, when we're looking sequentially, there's a larger impact than what we've seen in the last few years. But it's a good thing. Internal audit did really well in the fourth quarter. They had an extremely good quarter. We talked about Protiviti getting to double-digit operating margins forever. Well, guess what? We were solidly [ph] double-digit in this fourth quarter, and we still had some drag from Asia outside the U.S. So we're very pleased with Protiviti's fourth quarter. We're very pleased with their profitability. But there is seasonality in the business, which impacts our guidance for the first quarter.
Harold Max Messmer: But just to emphasize your comments on internal audit, it is very much annuity-like in large part, and obviously, we like that.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: Yes. No, no, I totally understand, it makes sense. I'm just wondering if it might shift over time. It sounds like it could if those practices do well. The follow-up question, just on the temp segment, SG&A on the temp segment, operating margins, despite the workers' comp credit, the margin went down a little bit sequentially. And I guess just how should we think about that moving forward? Is there -- do you think that the slowing headcount growth [indiscernible] versus this year should allow that to start moving back up? Or is there anything else going on?
M. Keith Waddell: Well, frankly, it's all about headcount and field compensation of recruiters and sales people. And as we get ahead of the revenue curve and the second half of 2013 it directly impacts temp [ph] operating margins [Technical Difficulty]
Operator: Ladies and gentlemen, we are experiencing some technical difficulties. Please standby. Your next question comes from the line of Hamzah Mazari of Credit Suisse North America.
Hamzah Mazari - Crédit Suisse AG, Research Division: I was wondering if you could give a little more color on what you're seeing in the Accountemps business. It seems that business has been pretty stable in terms of dollar revenue per quarter. Any color there? And maybe some more color on Canada. That business, you said, got more negative but has stabilized.
M. Keith Waddell: Well, Accountemps, we're very optimistic about. We just anniversary-ed foreclosure look-back, which for that division alone adds 300 basis points. I said earlier that as we've spoken with our people internally, they couldn't be more optimistic, and that includes Accountemps. So we feel good about the momentum going into 2014 as it relates to Accountemps. As to Canada, the market has been a bit softer there. We've had some internal management changes over the last 6 to 9 months. [Audio Gap] 3%, 4% of revenue overall. [Audio Gap]
Hamzah Mazari - Crédit Suisse AG, Research Division: Sorry, I think you guys just cut out again.
M. Keith Waddell: I see. So I said, as to Accountemps, we remain very bullish. Our people are very pleased with the momentum we have going into the year with Accountemps, including the anniversary-ing of the foreclosure look-back business a year ago. As to Canada, the market there has been somewhat weaker of late than is the case in the United States. And to add to that, we've had some management changes that we feel good will produce even better results as we move forward.
Operator: Your next question is from the line of Tobey Sommer of SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: I wanted to ask about what you feel like your ability is to harness pricing power if your businesses continue to accelerate, we get a little bit of a macro tailwind. So it's kind of a more of a medium- and longer-term question.
M. Keith Waddell: On pricing, history would say, as macro gets better, there's pressure on wage rates. We have to pay our temporary employees more. As we pay our temporary employees more, our clients understand that the market firms from a candidate point of view, and then that gives us an opportunity to not only pass-through the higher wage rate but to get a little more margin on it as well. So traditionally, we do quite well in improving macro environments from a pricing standpoint, and we certainly hope to do the same again. In the U.S. this quarter, our pricing did improve a little, but that got offset by a little bit of decline outside the U.S.
Tobey Sommer - SunTrust Robinson Humphrey, Inc., Research Division: And my follow-up question is, is the 39% tax rate the right rate to think about longer term, beyond 2014?
M. Keith Waddell: If you look back for a few years, you'll see 39% or 40%, in that range, as more of a typical income tax rate for us. It was low for 2013 because of the utilization of the foreign tax credits, as we talked about earlier.
Operator: [Operator Instructions] Your next question comes from the line of Randy Reece of Avondale Partners.
Randle G. Reece - Avondale Partners, LLC, Research Division: Is there any difference in your interest, willingness, eagerness to invest in permanent placement capacity versus temporary and contract staffing, recruiting and service on an incremental basis right now?
M. Keith Waddell: Well, I would say that we've -- relative to recorded revenues, we've invested more in the temp business over the course of 2013. That said, we've also over-indexed, to use the prior term, the hiring we've done in the perm business. Our temp business is about 90% of prior peak, and our perm business is about 75% of prior peak. We actually believe we got a good shot at exceeding those peaks. So given that, we're not bashful about adding to headcount, either area.
Randle G. Reece - Avondale Partners, LLC, Research Division: I was surprised at the pickup in growth in Robert Half Technology, especially given that kind of a difference in billing days. Is there any difference between U.S. and international growth there? And to what do you attribute the acceleration?
M. Keith Waddell: Well, as the U.S. versus international, we have a much smaller exposure internationally in tech than we do most of our other divisions. It's limited primarily at this moment to Germany. So tech non-U.S. doesn't move the needle overall. As to the acceleration, we've been making investments in Tech internally now for several quarters. We get more traction as our people get more experience, more up to speed, become better recruiters. It's a very candidate-driven market. We typically have more orders than we do candidates. So it's all about recruiting. As our newer staff become better recruiters, the growth rate reflects that.
Operator: Today's last question comes from Andrew Steinerman with JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Just one question, on typical seasonality for the first quarter, you were kind enough to remind us about Protiviti. I think for the rest of the staffing business, there's some both headwinds and tailwinds as you go into the first quarter. What does your guidance anticipate in terms of seasonal trends for the staffing business, the non-Protiviti business?
M. Keith Waddell: Well, it's all baked into the 5% year-over-year midpoint growth rate. But as we look at the divisions, OfficeTeam in the fourth quarter benefits by holiday-related customer service demand, which falls off in the first quarter. So it typically has the largest headwind in the first quarter. The Tech business and management resources, which are project-based, many projects in December and you have a little more difficult time getting them restarted in January. That typically means there's a little seasonal softness in tech and management resources. And Accountemps typically does just a touch better. But when you put them all together, there isn't a huge staffing seasonal impact.
Harold Max Messmer: That was our last question. We appreciate you joining us on today's call. Thank you.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half website at www.roberthalf.com. You can also dial the conference call replay. Dial-in details and the conference ID are contained in the company's press release issued earlier today. Thank you.